Operator: Good afternoon. Thank you for attending today's EverQuote Fourth Quarter and Full Year 2022 Earnings Call. My name is Megan, and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. I would now like to pass the conference over to Brinlea Johnson of Blueshirt Group. Brinlea, please go ahead.
Brinlea Johnson: Thank you. Good afternoon and welcome to EverQuote's fourth quarter 2022 earnings call. We'll be discussing the results announced in our press release issued today after the market closed. With me on the call this afternoon is Jayme Mendal, EverQuote's Chief Executive Officer; and John Wagner, Chief Financial Officer of EverQuote. During the call, we will make statements related to our business that may be considered forward-looking statements under federal securities laws including statements concerning our financial guidance for the first quarter and full year 2023, our growth strategy, and our plans to execute on our growth strategy, key initiatives including our direct-to-consumer agency, our investments in the business, the growth drivers we expect to drive our business, our ability to maintain existing and acquire new customers, our expectations regarding recovery of the auto insurance industry, and other statements regarding our plans and prospects. Forward-looking statements may be identified with words and phrases such as we expect, we believe, we intend, we anticipate, we plan, may, upcoming and similar words and phrases. These statements reflect our views only as of today and should not be considered our views as of any subsequent date. We specifically disclaim any obligation to update or revise these forward-looking statements except as required by law. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. For a discussion of material risks and other important factors that could cause our actual results to differ materially from our expectations, please refer to those contained under the heading Risk Factors in our most recent quarterly report on Form 10-Q or annual report on Form 10-K which is on file with the Securities and Exchange Commission and available on the Investor Relations section of our Web site at investor.everquote.com and on the SEC's Web site at sec.gov. Finally, during the course of today's call, we'll refer to certain non-GAAP financial measures, which we believe are helpful to investors. A reconciliation of GAAP to non-GAAP measures is included in the press release we issued after the close of market today, which is available on the Investor Relations section of our Web site at investors.everquote.com. And with that, I'll turn it over to you Jayme.
Jayme Mendal: Thank you, Brinlea, and thank you all for joining us today. 2022 proved to be a formidable year as our teams resolve and our business model's resilience were tested by the difficult auto insurance market, which caused carriers to dramatically pull back customer acquisition spend while they work to increase rates. Against this backdrop, we delivered full year revenue and variable marketing margin, or VMM, of $404.1 million and $128.3 million, respectively, and we generated adjusted EBITDA of $5.9 million. Throughout the year, our team continued to demonstrate its agility and strength by adjusting operations to a rapidly changing environment to deliver solid financial results. We implemented disciplined expense management to deliver adjusted EBITDA profitability for 2022, exceeding the high end of our original adjusted EBITDA guidance despite significantly lower revenue as carriers pulled back on marketing spend more than initially expected. Our customer acquisition team swiftly recalibrated to frequent and large reductions in carrier demand, and we drove higher efficiency in our resilient agent distribution channels, enabling us to achieve a record annual level of VMM as a percentage of revenue. Turning to 2023. We continue to see auto insurance carriers raising rates to restore adequate profitability as inflationary loss pressures persist. In Q1, thus far, we have seen a significant sequential increase in auto enterprise demand, driven by a limited subset of carriers. While we remain optimistic about demand improving over the course of the year, the exact timing and shape of recovery remains uncertain. Amidst the continued volatility, in 2023, we will work to restore revenue growth, bring profitability back to pre-downturn levels and generate positive cash flow. Despite the unsettled nature of the past 18 months, EverQuote enters 2023 in a stronger position than ever before. We continue to make steady progress and a market opportunity that remains enormous. Insurance distribution and advertising is a $170 billion market. Unlike nearly any other vertical market of scale, insurance distribution still lacks a clear digital category leader. At the same time, data continues to point to a more digital future. Internet shopping is still growing.  Insurance carriers are steadily building digital competencies and shifting distribution spend online with upstart digital first carriers advancing that curve more quickly, and applications to deploy new technology, machine learning and AI to solve industry challenges are becoming more accessible. Insurance distribution is ripe for disruption. As a market leader, EverQuote continues working to redefine the category of insurance distribution for the digital age. Our mission is to make it easy for customers to protect life's most important assets; their family, health, property and future. In pursuit of this mission, our vision is to become the largest online source of insurance policies by using data, technology and knowledgeable advisers to make insurance simpler, more affordable and personalized. What makes us uniquely positioned to define this category, I would point to two important competitive differentiators. First, EverQuote continues to be a data and technology company first. This element of our DNA has enabled us to scale our customer acquisition platform into one of the largest sources of online insurance policies in the U.S. Our strength continues to build and compound as we amass more data and deploy machine learning across more aspects of our business over time, ranging from traffic bidding, to experience personalization to product recommendations. This will make our marketplace both more effective for consumers and providers and more efficient for EverQuote. Second, EverQuote has assembled a one of a kind combination of insurance distribution assets, which enables access to a comprehensive set of insurance products across major personal lines. Carriers provide access to their insurance products through different channels, some distribute directly to consumers, others through captive agents and others through independent agents. Some carriers use multiple channels depending on their preference for a digital sales funnel or a telephonic one. EverQuote has built a hybrid marketplace, which supports all carriers in their pursuit of profitable growth. Those who distribute digitally and direct to consumer can participate in our digital marketplace, those who distribute exclusively through captive agents can plug into our local agent offerings, and carriers who distribute through independent agents can appoint our direct to consumer agency, Eversurance to access our shoppers. From the consumer's perspective, this hybrid marketplace enables EverQuote to offer a comprehensive set of insurance options, resulting in each consumer being more likely to find the right product for them delivered in their preferred manner. We will focus increasingly on leveraging these distribution assets to build a unique and differentiated insurance shopping destination for consumers through which they can access the industry's widest set of insurance products across major personal lines, receive personalized recommendations on the right products for them and easily access advice from knowledgeable experts as needed. Success will set the stage for deeper and more enduring customer relationships through which we will manage consumers' insurance needs across multiple products and over time. To be clear, we are still in the early stages of this journey, but we have now cleared a challenging and important milestone of assembling and integrating requisite foundational assets. We still have much work to do to achieve our vision. That said, we believe that EverQuote is the only company with the assets, team and conviction to deliver the type of insurance shopping experience that we believe the industry, including its carriers, agents and consumers ultimately needs to bring the full potential of the digital age to insurance buying and selling. Our team is energized by the opportunity ahead, and we look forward to sharing our progress this year as we continue to build the industry's preeminent one stock insurance destination. Now I'll turn the call over to John to discuss our financial results.
John Wagner: Thank you, Jayme, and good afternoon, everyone. I'll start by discussing our financial results for the fourth quarter and the full year 2022 and then provide guidance for the first quarter and full year of 2023. Total revenue for Q4 was $88.3 million, a decline of 13% year-over-year and within our guidance range provided last quarter. For the full year, revenues increased 3% to $404.1 million.  Revenue from our auto insurance vertical decreased 5% year-over-year to $67.2 million in Q4 and 2% to $324.4 million for the full year of 2022. The decline in revenue in Q4 was attributable to a 21% decrease in consumer monetization year-over-year, reflecting the impact of lower carrier demand as a result of the industry-wide auto insurance downturn and a further pullback in reaction to Hurricane Ian losses, partially offset by a 9% increase in consumer volume. Revenue from our other insurance verticals, which includes home and renters, life and health insurance, decreased 33% year-over-year to $21.1 million for the fourth quarter and represented 24% of revenue. For the full year, revenue from our other insurance verticals decreased 9% year-over-year to $79.7 million. While down on a year-over-year basis, Q4 revenue from our other insurance verticals increased 40% sequentially from Q3, reflecting the seasonal contribution from our health insurance vertical during the annual open enrollment period. Within health DTCA, revenue exceeded our internal forecast due to higher sales conversion and efficiency and improved consumer targeting, but declined from the prior year as expected due to a lower number of agents as part of our planned moderation and agent growth and emphasis on optimizing unit economics and cash usage. Variable marketing margin, or VMM, defined as revenue less advertising expense, was $29.1 million for the fourth quarter on the high end of our guidance range provided last quarter. Full year VMM decreased only slightly to $128.3 million. Despite lower monetization, variable marketing margin as a percentage of revenue was a record 32.9% for the fourth quarter and 31.7% for the full year. Though lower monetization generally places pressure on advertising margin, during this period, we have been able to realize margin expansion, a direct result of refinements in our use of data and technology to bid competitively for advertising in a less competitive advertising environment. Turning to our bottom line. GAAP net loss was $8.5 million for the fourth quarter and $24.4 million for the full year. Adjusted EBITDA was a positive $92,000 in the fourth quarter and $5.9 million for the full year. The result was within our guidance range provided last quarter and reflects our ability to manage our business for positive adjusted EBITDA even during the auto insurance downturn. Operating cash flow was a use of cash of $4.9 million for the fourth quarter, reflecting the offset of positive cash flow from our referral marketplace against the higher seasonal revenue contribution of our DTC agency with its associated multiyear collection of policy sales commission revenue. We ended the year with cash and cash equivalents on the balance sheet of $30.8 million and no debt outstanding on our $45 million debt facility. Coinciding with the filing of our 2022 10-K today, we've also filed an S-3 universal shelf registration statement. With a healthy cash balance, ample borrowing capacity and a plan to return to generating positive operating cash flow in 2023, we have no immediate plans to raise capital and are not dependent on doing so to run our business. The shelf registration statement provides us flexibility and access to raise capital over the next three years if we deem it necessary or if we identify compelling opportunities to deploy capital to improve the performance of our business. We view dislocation in the insure tech industry as having the potential to produce compelling acquisition opportunities in areas consistent with our vision and growth levers. And the shelf registration statement will provide us potential avenues for capital beyond our current balance sheet resources if those opportunities should emerge. Turning to our outlook, including an update on the market conditions within the auto insurance industry. We anticipate improving demand from our auto insurance carrier providers during the course of 2023. Auto insurance premium increases along with existing moderation in factors that drive claims losses are anticipated to improve financial performance for our auto insurance carriers and consequently, their demand for new consumer acquisition. The timing of this improvement will differ among carriers with those that increased rates more significantly and earlier in the downturn, reaching rate adequacy sooner. Though there is uncertainty and many auto insurance carriers are still suffering an imbalance between premiums collected and claims paid, we expect gradual normalization of the market. With Q1, we've begun to see this initial improvement in demand from a limited subset of carriers. With demand improvement, we expect to return to revenue growth over the course of 2023 with improved VMM and adjusted EBITDA and positive operating cash flow for the full year. For Q1, we expect revenue to be between $101 million and $105 million, a year-over-year decrease of 7% at the midpoint. We expect variable marketing margin to be between $31.5 million and $33.5 million, a year-over-year decrease of 5% at the midpoint. And we expect adjusted EBITDA to be between $2 million and $4 million, a year-over-year increase of 24% at the midpoint. For the full year of 2023, we expect revenue to be between $420 million and $435 million, a year-over-year increase of 6% at the midpoint. We expect variable marketing margin to be between $132 million and $140 million, a year-over-year increase of 6% at the midpoint. And we expect adjusted EBITDA of between $7 million and $13 million, a year-over-year increase of 69% at the midpoint. In summary, during the fourth quarter and full year 2022, diversity and distribution, disciplined execution in consumer acquisition and management of operating costs allowed us to mitigate the impact of the auto insurance pullback and continue to deliver positive adjusted EBITDA. As auto insurance demand returns, we expect to return to revenue growth with an emphasis on rapidly improving adjusted EBITDA and cash flow. Jayme and I will now answer your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Michael Graham with Canaccord. Your line is now open.
Michael Graham: Thank you, and thanks guys for sharing all this, and it's good to hear that you see the auto market improving throughout the course of the year. I just wanted to kind of drill down on that a little bit. And maybe you could just give a little more depth around what you're seeing from some of your major carrier customers. Do you have a feel for like how many of them are getting closer to rate adequacy? And then can you just comment, like as we get these new rates hitting, it seems like it could stimulate consumer shopping behavior even more when they sort of go to renew and they've got higher rates to deal with? So maybe just talk about how you're incorporating that potential dynamic into your expectations for the year?
Jayme Mendal: Sure. Thanks, Mike. So the year has started more or less as expected. I think our view is that Q4 was likely to be a trough period for us and that we see a bit of a step up or an inflection in Q1. We have seen that occur. It is still relatively concentrated in terms of the increase in demand. And so we have seen a subset of carriers restoring healthier profitability and higher demand. And as a result, we've seen them step back into the marketplace in a more meaningful way, still state by state and segment by segment. And so I think there's reason for optimism in terms of starting from a good point and expecting that the year will build as other carriers achieve rate adequacy over the course of the year. The reality, if you look broadly across the industry right now is that many carriers still have not achieved rate adequacy, at least the latest data we have available which is Q4 for many, January for at least one. And so it's still a bit of a mixed bag out there. Now they have all been taking rate, even California is now allowing rate increases. And so what we expect is that as these rates earn in, each month that passes, each quarter that passes, carriers will restore profitability in certain segments of the market. And as they do, they'll begin to lean back in, in terms of their customer acquisition appetite. So not a big change from where we were last time we spoke. I think the expectation is we'll see a build over the course of '23 and probably the last leg of the recovery for some carriers will occur in 2024. In terms of shopping behavior, what you sort of asked about is, in fact what we would expect to happen, which is that as rate increases flow through, consumers will receive renewal notices at substantially higher premium than what they were paying previously, and that will trigger shopping behavior. And so we've seen that flow through the marketplace. Even in 2022, we saw elevated levels of consumer shopping behavior, persisting into 2023 and we would expect it to continue for as long as the rate cycle is in effect, which from where we sit today, it's likely to extend into 2024.
Michael Graham: Okay. That’s really helpful. Thank you, Jayme.
Jayme Mendal: You’re welcome.
Operator: Thank you, Mr. Graham. Our next question comes from the line of Cory Carpenter with JPMorgan. Your line is now open.
Cory Carpenter: Thanks for the questions. One for John and one for Jayme. Maybe John, starting with you, just could you help us with what you're kind of baking into the guide from a recovery perspective. And maybe to the extent you're willing to provide any color on auto versus non-auto growth expectations this year? And then, Jayme, could you just touch a bit on the presentation you mentioned reaccelerating non-auto growth this year. Could you just talk about some of your initiatives there? Thank you.
John Wagner: Sure. Thanks, Cory. So included within our guide is, first, the environment that we're seeing now and as Jamie mentioned, we're seeing a small subset of carriers that have obtained rate adequacy in our back in-market acquiring consumers. So that's certainly baked in. And then in addition, a gradual increase in demand from other carriers as they reach rate adequacy, we see the rates that they've already taken burn into their book of business and we see them start acquiring it again. And then I would say kind of that is a gradual movement that we see going through the year, including into the back half of '23. And then I would say our range also includes the fact that there's a certain amount of uncertainty within the market, right? Some carriers are very much still struggling with the imbalance between premiums and claims. And so we've captured that as well in our guide as well. There's a range there that allows for the fact that we're not -- we don't know with certainty what the recovery, what the slope will look like and what the speed will look like. And so we've really, I would say, prudently kind of captured those scenarios in our guide. As we look at the breakdown, we certainly -- we talk a lot about autos. We also see non-auto growth, the other verticals also returning to growth over the course of the year as well. So we are starting to gear up for growth across the board.
Jayme Mendal: And Cory, to answer the second part of your question, in 2022, we really focused intensely on stabilizing the auto vertical. And as part of doing so, we had to apply an added level of rigor and discipline and expense management. And unfortunately, that came at the expense of a certain amount of resourcing in our non-auto verticals. One example would be in the direct to consumer agency where we entered the year last year with plans to grow agent headcount and health and Medicare business. We made a decision in here to instead focus more heavily on driving up the unit efficiency of that part of the business. And we exited the year with the lower headcount than we started, and we're comfortable with that tradeoff. But it will come at the expense of some growth and not exclusive to health and Medicare and any other verticals as well. So as we come in this year, we are planning for reacceleration. We have already sort of reallocated some dedicated resourcing into non-auto verticals. And as the auto business recovers, we will continue to reinforce that move because we continue to see just a huge amount of potential in the non-auto verticals and look forward to getting them back to growth mode.
Operator: Thank you, Mr. Carpenter. Our next question comes from the line of Mayank Tandon with Needham. Your line is now open.
Mayank Tandon: Thank you. Good evening. Congrats, Jayme and John. Good to hear that growth is inflecting higher. That's encouraging. I was going to just ask more around your expectations in terms of the quote request and the revenue per quote request? How are you thinking about that breakdown as you look at 2023?
John Wagner: Sure, Mayank. I'll take that. We see it as growth being fueled by a mix of monetization as well as traffic. As we already talked about, we think the environment in which rates are increasing, that has always been for us the biggest catalyst for shopping within the marketplace is when a consumer opens the envelope on a renewal, sees a pretty dramatic increase in rates. And with carriers, a lot of carriers having taken rate to the tune of mid-teens, that's pretty significant. So we think that drives consumer shopping. And industry-wide, we've started to see that in Q4 of this past year. In addition, we believe that also there's the opportunity for monetization increases. Initially, that doesn't mean necessarily that is carriers bidding up because there are really the early cohort of carriers that have obtained rate adequacy coming back to the marketplace. But there are opportunities for modernization even with those early carriers. And that really is twofold. It’s carriers that are coming back to market and maybe are displacing a lower bid, not necessarily bidding up competitively. And then also it's the opportunity for us to increase the number of referrals per consumer. So as carriers, even the initial carriers come back into the marketplace that can increase the number of monetization events that we have per consumer. So as the consumer is looking to get multiple quotes on a policy, our ability to monetize them multiple times and give them multiple quotes is directly related to the carriers that are in the marketplace. So as they come back, we have that opportunity to increase monetization. So as we look forward to '23, it is really a combination of balanced kind of consumer volumes as well as additional monetization.
Mayank Tandon: That's very helpful context. And then I just wanted to add another question around seasonality. John, could you remind us of the seasonality, especially in auto, as you build out the rest of the year in terms of the revenue trajectory and of course also how that will square with your VMM and EBITDA outlook? Is it going to be fairly linear this year just given some of the trends, or should we expect the usual seasonality to play out in '23 as well?
John Wagner: Yes, sure. So I would start by referring back to kind of the usual seasonality within auto, and that is a good strong Q1, usually followed by a slightly softer Q2 and a slightly stronger Q3, and then a pullback within auto as you come into Q4, both with the holiday season consumers distracted by the holidays as well as some of the carrier media spend that leaves the market in favor of retail spend. So that's the normal characteristics of kind of the seasonal pattern within auto. I think clearly, this year, you have the opportunity, especially when you look at the comp in Q4, to see something that contradicts that usual pattern that has some growth and some build especially as we get through to the second half of the year. And then over that, I would just overlay the fact that health and our DTCA offering has a bit of a different seasonal pattern. So if you look at our overall results, the health DTCA business has a stronger quarter -- strongest quarter in Q4 and the second strongest quarter in Q1 with the lock-in period within health in Q2 and Q3. So we would expect within health, a reduction in Q1 and then a softer period in Q2 and Q3 before returning to the health annual enrollment period and open enrollment period in Q4 for Medicare Advantage as well as for the under 65 health offerings.
Mayank Tandon: That’s very helpful. Good refresher for me. Thank you so much.
Jayme Mendal: Thanks, Mayank.
Operator: Thank you, Mr. Tandon. Our next question comes from the line of Ralph Schackart with William Blair. Your line is now open.
Ralph Schackart: Good afternoon. Thanks for taking the questions. EverQuote's business model has gone through these transitions historically where the carriers have taken rate. The marketplaces had to adjust. And then coming out of that, the business has seen pretty strong growth. Just curious if you could kind of rewind a little bit and maybe give us a little history lesson here as well as maybe the similarities that you're seeing now versus past cycles, any differences? Just curious for your thoughts on that.
John Wagner: So I'll start it off, Ralph. So our last market that had some similarities here was back in 2016, 2017, in which there was a spike, a fairly sudden spike in claims losses for the auto carriers. And then as the carriers took rate during that period, we saw a very strong market for auto insurance demand into 2018 and 2019. I would say the differences between that experience and what we've seen recently are the fact that at that time, it wasn't very well understood exactly the dynamics that were happening to cause auto insurance claims to spike. I think in retrospect, there's a better understanding that it's probably mostly being caused by distracted driving and some cost to repair vehicles. I'd say the other major difference between that cycle and this one was the length in the severity. Clearly, this cycle, this imbalance has been more severe than what we saw in 2016 and '17. So I think with this cycle, you see something where every carrier is seeing the same thing, experiencing the same thing, which is they've seen claims losses increase not because of frequency, but because of severity, the cost of repair and replace vehicles as well as other factors. They have all started to react to that, albeit at different speeds with different levels of rate increases but they've all reacted to that. You've seen them all take rate at this point. Some of that rate is burned into their book of business, earned in and some have not yet. But you're seeing kind of the industry all react in a very similar way, probably with more consistency than what you saw in '16 and '17, and again with more severity than what we saw in '16 and '17. For us, that reflected in our business in 2017 with a modest growth year. We grew 3% in 2017, but then set the stage for a healthy environment for us to execute in 2018 and 2019. That's largely what we expect as we get through the back end of this imbalance as the carriers take that rate and also see that rate that they've already taken earn into their book of business and start getting reflected in their results in their combined ratios and start returning to a focus on acquiring consumers.
Jayme Mendal: And Ralph, I think the only thing I'd add is there's two sides to the equation. There's the rate side, which the carriers are working through. And then there's the loss side. And I think the big question for the industry will be what that loss side looks like over the course of the year. I think there's a scenario where things somewhat stabilize where they are, and then the rates come and meet the losses where they are. And there's also a scenario where you could continue to see deflationary pressures in the loss environment, meaning the cost of used cars or some of the big cost drivers subsiding, in which case the carriers could enter a period of somewhat windfall profitability. Time will tell. But I think those are the things to watch, right? There's the rate side, but then there's also the loss side and some of the key drivers of losses as the year unfolds.
Ralph Schackart: Super helpful. Thank you. Just maybe a follow up. Carriers typically set annual budgets and I guess that's reflected in your guidance today. But are you seeing any changes in pattern with that, just given the macro uncertainty and them taking rate? Just kind of curious just on the full year basis if you're seeing sort of any change in behavior there from the carriers? Thank you.
Jayme Mendal: Yes. From last year, we are seeing the carrier -- the subset of carriers that have gotten their rates in line, have largely returned to more sort of normalized historical approach to setting their budget, which varies by carrier. Some operate a relatively unconstrained way. Some will set their budget on a quarterly or monthly basis. But we're seeing budgets return to normal in pockets. In other areas, we're seeing just carriers manage through budget caps, and that's being reflected in the lower levels of demand and spend with the balance of carriers who haven't yet achieved rate adequacy. And those budgets tend to get revisited, if not monthly, quarterly. And so we tend to get information from some of these carriers, and we obviously have an open dialogue with them. And in general, I'd say that are moving to a more constructive stance, meaning they're looking for pockets -- on balance, they're looking for pockets where they can lean in where they have profitability. But we sort of learn more as they learn more about their underwriting results with each month or quarter that passes.
Ralph Schackart: Okay, super helpful. Thank you, Jayme.
Jayme Mendal: Thanks, Ralph.
Operator: Thank you, Mr. Schackart. Our next question comes from the line of Aaron Kessler with Raymond James. Your line is now open.
Aaron Kessler: Great. Thank you. Maybe can you just talk a little bit about as well the agency performance in the quarter, kind of what are you seeing from agents? And then additionally, can you talk -- I think you noted in the report on some market share gains, just how are you thinking you're doing versus competitors currently? And lastly just the non-auto verticals, kind of where do you think you see the most opportunity for reacceleration in 2023? Thank you.
Jayme Mendal: Sure. So agents, sort of competitive landscape for market share in non-auto. And just to clarify, we talked about two different agent channels, and I can -- happy to talk about both, but we have our local agents, our third party agent network and then we have our direct to consumer agency, is the one that you were inquiring about?
Aaron Kessler: Yes, the local auto agents.
Jayme Mendal: Yes, sure. So that part of the business has demonstrated really strong resilience over the last year as the direct carriers contracted meaningfully, we were able to continue growing demand from local agents. And that's in spite of the industry headwinds. It's in spite of cost controls that we placed on that business just as part of our overall OpEx management efforts. And I think we are pretty confident that today, EverQuote is both the largest and highest performing provider to the local agent base, predominantly those captive agents that Allstate or State Farm or Farmers agents of the world. So it's been a strength for the business in '22. As we look out to next year, we're going to continue to invest in it. So we expect demand from agents to continue growing while we drive further efficiency through it. And we look forward to really expanding the suite of products and services that we're offering these agents with the goal of building just deeper longer term relationships with them. So it's a part of the market where we feel we are in a great position right now, and we're going to continue to invest behind. I think that probably relates to the second part of your question around I guess competitive dynamics and market share. Based on all of the data that's available to us publicly and information that we get from carriers, I think we're pretty confident that we have gained share by and large over the last year. I think we'd attribute that both to the strength of our agent distribution. It's both third party agents and our direct to consumer agency as well as just our effectiveness in managing traffic operations in response to fluctuating demand over the course of the year. So we're pretty confident that we have picked up a step through the downturn, and that should position us well on the way out. And then to address your third question around non-auto verticals, I think the growth is going to be fairly well balanced across the non-auto verticals. One area that we're leaning into a bit more heavily is home insurance. If you look at some of the carrier results, the P&C carriers, while they continue to work on restoring auto profitability, the picture in home is a bit better for them. And so therefore, they do have appetite to grow. There is more demand that is there that is more stable. And we are leaning into that and trying to rebuild momentum in the home operations. And then I think health and Medicare continues to be an area of opportunity and an area of focus. In our direct to consumer agency, we've driven a tremendous amount of efficiency over the last year into the health and Medicare operation, and we're continuing to invest in driving strong unit economics. And as we do, we'll return to more of a growth posture in those verticals over the course of the year.
Aaron Kessler: Great. Thank you.
Jayme Mendal: No problem. Thanks, Aaron.
Operator: Thank you, Mr. Kessler. Our next question comes from the line of Jed Kelly with Oppenheimer. Your line is now open.
Jed Kelly: Hi. Great. Thanks for taking my questions. Just a couple, if I may. Just going back to the competitive dynamic, I think some of the competitors maybe are kind of guiding for somewhat of a faster growth rate maybe in 1Q. Can you discuss anything around the competitive dynamics? And then you did file a mixed shelf offering. Can you discuss any potential acquisitions or how the environment is for valuations and the overall acquisition environment? Thank you.
Jayme Mendal: Sure. I'll take the first piece, Jed. We've seen and sort of like heard how some of the others are talking about the recovery. I don't think there's -- I don't believe there's a difference in terms of what we're seeing versus what others are seeing. We have seen a substantial step up sequentially from Q4 into Q1. It's relatively concentrated, as we mentioned, in terms of it coming from a small subset of the carrier base. And so I think we are likely seeing what the rest of the industry is seeing. You have to recall that we have a different distribution sort of channel mix from most of the industry and that about half of our revenue comes from the agent channel, which has been more of a steady grower throughout. And so you might expect to see a bit more of a swing from other companies that have less diversification in their distribution base. But by and large, we're taking a relatively conservative approach to it, right? We appreciate that there's still quite a bit of uncertainty in the market. We want to see some more depth in terms of carriers returning to the marketplace, more carriers returning to a growth mindset. And I think as we do, you will see us reflect that as our confidence builds that we have those dynamics in the marketplace in a way that we haven't yet achieved, but we're moving in the right direction for sure.
John Wagner: And Jed on the shelf registration we filed today, I would describe that really as just good housekeeping and a step to give us some capital optionality. In my prepared remarks, I went out of my way to say that it's not something that we're looking for to raise capital to fund the business. And in fact that we're starting to talk about returning to positive operating cash flow next year, maybe just slightly for the year, but we are starting to manage for positive operating cash flow. So it's not a scenario where we believe we need capital in order to run the business. And that really leaves the other major lever, which is around acquisition. We do think that the environment could become attractive and compelling over the course of the year. And I think you know our view on acquisitions that we've spoken about in the past, which is we think acquisitions can be a part of our growth story if they tie in well to kind of our known growth levers. And if they provide us usually some sort of an initiative that we've thought about growing ourselves and we look to an acquisition in order to jump start something like that. So we think there could be some opportunities on that side. The filing of the shelf really just gives us optionality around being able to raise capital, but no specific plans in mind and certainly no dependencies as we look at the shelf.
Jed Kelly: And then just as a follow up, I look at the non-variable marketing of your total sales and marketing, I think it was 14.5 million [ph] this quarter, so down 14%, down 5% sequentially. How should we be forecasting or what's implied in the guide for that line item for '23? Thanks.
John Wagner: Jed, just to clarify, are you saying the non-advertising component of sales and marketing?
Jed Kelly: Yes.
John Wagner: Yes. So there you see -- within that number, you see the reflection kind of the plans to focus our DTCA efforts around improving economics. And so there you see the reduced expense in that line item mostly being driven out of lower agent count, lower resources going into DTCA this year versus last year. Last year, it was very important for us to grow the business, establish that we could scale the business. This year, we were more focused on improving the efficiency. And as Jayme mentioned, we significantly improved the efficiency of our DTCA, which is both in P&C and most especially within health. As we move forward, we are looking at DTCA, again, mostly focused around improving the economics of the direct to consumer agency. And when we achieve those economics, we believe that warrant scale, we'll start to scale DTCA again. But what is implied in the guide is generally modest resources around DTCA with some incremental resources in the back half of the year this year versus last year. But no dramatic growth plans and resources that are implied within the operating expense guidance.
Jed Kelly: Thank you.
Jayme Mendal: Thanks, Jed.
Operator: Thank you, Mr. Kelly. Our final question comes from the line of Daniel Day with B. Riley Securities. Your line is now open.
Daniel Day: Hi, guys. I appreciate you taking the questions. Most of my have been asked, but I'll sneak one more in. Just to follow up on the discussion on cash OpEx you had there. It looks like you're baking in that OpEx below the VMM line slightly up year-over-year. Maybe just talk about any levers you have if you were to choose to bring some of those VMM dollars down to EBITDA more so than you're currently baking into the guide? And then if that EBITDA were to come in roughly around where you're guiding to in '23, do you have a sense where free cash flow would be for the year? I think the swing factor really would just be the sort of working capital in the DTCA, but anything else there in terms of EBITDA to free cash flow growth would be great?
John Wagner: Sure. I'll start with the second part of that. I think really when we talk about positive operating cash flow for the full year, that's a very significant improvement over 2022. At the midpoint of our guidance, we think of that as narrow positive operating cash flow for the full year. The dynamics of the business, which is the marketplace, tends to produce cash at a level similar to our adjusted EBITDA. As that business improves on its adjusted EBITDA profile, we have a use of cash from the DTCA business, but we have efforts there in order to manage that business for reduced cash usage as we improve the economics of that business. So that combination, at the midpoint of our guide, we think it brings us slightly positive for the full year on operating cash. Then turning to the first part of your question, when you look at the economics, I'd say the greatest opportunity really is if we see greater strength around carrier demand and the return to the market, we have a history of when we see greater demand, that translates pretty quickly into a higher VMM. And although we are below the VMM line, we are often making choices between growth and EBITDA usually when we see that. That translates into stronger EBITDA than expected, largely because it takes us time to deploy those dollars for growth. And so I think if you look and say what is certainly anything under the VMM line, we have that choice between investing for growth and today in our guidance, we have some investments baked in for growth around our agency business, both first party and third party. And then I think beyond that, the leverage, the kind of accretion for EBITDA on additional VMD is very strong after that. And that would be the upside that we could see if we see stronger demand returning over the course of the year.
Daniel Day: Okay. That’s all I’ve got, guys. I appreciate the time.
John Wagner: Thanks, Dan.
Jayme Mendal: Thanks, Dan.
Operator: Thank you, Mr. Day. There are no additional questions waiting at this time. I’ll pass the conference back over to Jayme Mendal for closing remarks.
Jayme Mendal: Thank you. So we were really tested in '22 with the most severe hard market in auto insurance memory. And I got to say, I'm incredibly proud of how the team rose to the occasion and adapted to it. Despite a significantly worse demand scenario than we predicted at the beginning of last year, we managed to drive efficiency and deliver an adjusted EBITDA above our original 2022 guidance. Looking ahead, we are working hard to restore growth, to improve adjusted EBITDA and generate positive cash flow from operations. And as we do, we are excited to just continue to build on the strategic momentum in our pursuit of an industry defining destination for insurance shopping in the digital age. Looking forward to sharing updates on our progress as the year goes on. Thank you all.
Operator: That concludes the EverQuote fourth quarter and full year 2022 earnings call. Thank you for your participation. I hope you have a wonderful day.